Operator: Good morning. My name is Jason, and I will be your conference operator for today. At this time, I’d like to welcome everyone to Karyopharm Therapeutics' First Quarter 2021 Financial Results Conference Call. There will be a question-and-answer session to follow. Please be advice that this call is being recorded at the company's request.
Ian Karp: Great. Thank you. And thank you all for joining us on today's conference call, to discuss Karyopharm's first quarter financial results and business update. And let me be the first one to officially welcome our President and Chief Executive Officer, Mr. Richard Paulson to our quarterly earnings call. This is Ian Karp, and today in addition to both Michael Kauffman, and Richard Paulson, I am also joined by Mr. Mike Mason, our Chief Financial Officer; Mr. John Demaree, Chief Commercial Officer; Mr. Stephen Mitchener, Chief Business Officer. On the call today, Michael will provide an overview of key recent corporate developments and an update on our commercial progress, followed by an update on one of our key pipeline opportunities in endometrial cancer. Mike Mason will then provide an overview of the first quarter financial results. We will conclude with some thoughts from Richard on Karyopharm's future and then we’ll move to the Q&A portion of the call. Earlier this morning, we issued a press release, detailing Karyopharm's results for the first quarter of 2021 and the appointment of Richard Paulson, as our next President and CEO. These releases, along with a slide presentation that we plan to reference on today's call are available on our website at karyopharm.com. Before we begin our formal comments, I'll remind you that various remarks we make today constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995 and as outlined on slide number three. These include statements about our future expectations, clinical developments and regulatory matters and timelines, the potential success of our products and product candidates, including our expectations related to the commercialization of XPOVIO and NEXPOVIO, financial projections, and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factor section of our most recent annual report on Form 10-K, which is on file with the SEC, and in other filings we may make with the SEC in the future. Any forward-looking statements represent our views as of today only and we may elect to update these forward-looking statements at some point, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today.
Michael Kauffman: Thank you, Ian. And good morning, everyone. Let me begin first by saying how thrilled I am to also be joined here today with Richard Paulson, our Company's new CEO. And we'll begin on slide four. Dr. Sharon Shacham and I started Karyopharm over 12 years ago. Our mission was really quite simple. We wanted to do everything we possibly could to make a difference in the lives of patients battling cancer. More specifically, we sought to develop novel drugs that exploited a fundamental pillar of Oncogenesis, namely, the reactivation of tumor suppressor proteins by inhibiting their export out of the cell nucleus, which as you may know, is actually where the name Karyopharm comes from. Now, with our lead medicine XPOVIO having received three separate FDA approvals, and one marketing authorization in Europe, over 450 employees and a robust pipeline of programs - across both immunologic and solid tumor indications, I could not be more proud of the work we've accomplished on behalf of patients, their families and healthcare providers. But as our company is increasingly focused on commercial execution, and competing in the global cancer marketplace, the time is right for a new leader, particularly one with strong track record of building successful, oncology commercial brands. Richard, of course, is no stranger to Karyopharm and he served on our Board of Directors since February 2020. And prior to his new role here, Richard served as Chief Executive Officer of Ipsen North America, and is the Former Vice President and General Manager of Oncology at Amgen. Richard will provide some of his thoughts regarding Karyopharm's future at the end of today’s review of our Q1 2021 earnings and business update. Please now turn to slide five. Total revenues were $23.3 million, with XPOVIO net product sales of $21.7 million in the quarter. Importantly, exposure prescription demand increased 17% in Q1 2021, as compared to Q4 2020, following the expanded FDA indication granted in December of 2020. We also saw more than 160 new physicians or accounts prescribing XPOVIO for the first time in the quarter. This quarterly growth occurred when many myeloma brands were flat or declining. Moving to our pipeline progress, we recently announced that in March of 2021, the European Commission granted Conditional Marketing Authorization for NEXPOVIO in combination with dexamethasone for the treatment of patients with multiple myeloma, who have received at least four prior therapies and whose disease is refractory to at least two proteasome inhibitors, two immunomodulatory agents, and an anti-CD38 monoclonal antibody, and who have demonstrated disease progression on the last therapy.
Michael Mason: Thank you, Michael. Since we issued a press release earlier today with the full financial results, I will just focus on the highlights which began on slide 15. Net product revenue for the first quarter of 2021 was $21.7 million, compared to $16.1 million for the first quarter of 2020. The estimated gross to net discount for XPOVIO in Q1 2021 was slightly higher at 21%, in the top of our expected range of 15% to 20%. License and other revenue for the first quarter of 2021 was $1.5 million, compared to $2.1 million for the first quarter of 2020. R&D expenses for the first quarter of 2021 were $37.1 million, compared to $34 million for the first quarter of 2020. The increase in R&D expenses in 2021 compared to 2020 was primarily attributable to cost incurred related to our ongoing clinical trials and regulatory activities. Selling, general and administrative expense for the first quarter of 2021 was $37.7 million, compared to $30.7 million for the first quarter of 2020. The increase in SG&A expenses compared to the prior year was due primarily to activities to support the U.S. commercialization of XPOVIO. On slide 16, you can see the cash, cash equivalents, restricted cash and investments as of March 31, 2021 totaled $233.6 million, compared to $276.7 million as of December 31, 2020. Finally, based on our current operating plans, Karyopharm expects non-GAAP R&D and SG&A expenses, which exclude stock-based compensation expense for the full-year 2021 to be in the range of $208 million (sic) $280 million to $300 million. The company expects those existing cash, cash equivalents investments, and the revenue it expects to generate from XPOVIO product sales and other license revenants will be sufficient to funds its planned operations into late 2022. We are not providing revenue guidance for 2021 today, as we remain in the initial launch phase of XPOVIO and its expanded indication, but do expect to see meaningful growth in 2021 relative to 2020 with the ramp of sales increasing in the second half of the year, as we expect to see the benefit of a longer duration treatment for multiple myeloma patients being prescribed XPOVIO earlier in their treatment course, and or in combination with Velcade. I'll now turn the call over to Richard for some of his thoughts about Karyopharm’s future. Richard?
Richard Paulson: Thank you, Mike. Let me begin by saying how excited I am to be leading the Karyopharm organization in such inspiring times. Of course, Karyopharm is not new to me, as I have served on its Board of Directors since February of 2020. And first, I would like to acknowledge and thank Dr. Michael Kauffman for his immense contributions to the scientific and initial commercial success achieved by Karyopharm. Dr. Kauffman, both as a clinician and drug developer, has truly enabled our company to reach amazing scientific and clinical achievements. During my tenure on the Board, I've been extraordinarily impressed with what this amazing company is being able to do in such a short period of time. Now with three separate FDA approvals and one conditional European marketing authorization grant, all having been achieved in just the past few years. Of course, all of these approvals were preceded by many years of careful and thoughtful clinical development for XPOVIO. And Karyopharm remains deeply rooted in innovative science, with a passion for improving the lives of patients battling cancer, something that is very near and dear to me as a passion I work towards. Importantly, I believe the best is yet to come for both Karyopharm and for the patients we aim to serve. However, I know that a lot of work still remains. As Karyopharm has now effectively transitioned to a commercial stage organization, I am excited to lead the company and its next chapter, as we seek to expand XPOVIO’s impact across indications and geographies. I look forward to leveraging my experience in global product commercialization, and organizational leadership to help further advance Karyopharm’s impact in helping improve patient outcomes. And I'm excited to work alongside of both Michael and Sharon, on behalf of our patients, employees, partners and shareholders. Regarding my initial priorities, in the near term, I think we have a great opportunity to expand our breadth and depth in the multiple myeloma treatment landscape, where we have really just begun to scratch the surface regarding where we can compete and help patients. And as we continue to generate additional combination data with other myeloma drugs, we believe XPOVIO has the opportunity to become an increasingly important backbone therapy. And moving beyond multiple myeloma, I believe XPOVIO can become a portfolio in a pill with the potential to have clinically meaningful utility across a host of cancers, including many solid tumor indications, both as a single agent, and importantly, as a future combination partner of choice with other cancer medicines, allowing for synergistic opportunities to further help patients battling cancer. Now, before we open the call up to your questions, let me highlight a few of the key commercial, clinical and regulatory milestones that we've already achieved so far in 2021, and others that we expect for the remainder of the year and shown on slide 17. First, we have made significant progress in Europe, where we recently received Conditional Marketing Authorization for NEXPOVIO and have submitted a Type II Variation application based on the Phase 3 BOSTON study, which was recently validated by the EMA. Next, while we have made some progress increasing XPOVIO sales in US, we are far from content here and remain committed to further penetrating the US market throughout the remainder of this year and beyond. This is where I intend to spend much of my time in the weeks and months ahead. And finally, in the second half of this year, we expect top line data from the Phase 3 SIENDO study in endometrial cancer. The initiation of multiple clinical trials and the presentation of additional combination data with XPOVIO and other cancer therapies at a variety of medical meetings. I look forward to updating the investment community on our continued progress in the months and quarters ahead. And with that, I would now like to ask the operator to open the call up to question and answer portion of today's presentation. Operator?
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Brian Abrahams from RBC Capital Markets. Please go ahead.
Brian Abrahams: Hi, there. Thanks for taking my questions. And I guess first off, congratulations to Michael and Sharon on all your accomplishments. I want to wish you the best of luck in your new roles, and congratulations to Richard as well.
Richard Paulson: Thanks, Brian.
Brian Abrahams: Yeah, so first off I just - I'm curious if you could maybe provide a little bit more color around XPOVIO use patterns in the US in the earlier line population. Maybe can you help characterize the blend of the penta-refractory versus earlier line BOSTON population being put on drugs based on your market research? And what's your sense as to how XPOVIO is fitting into the current competitive landscape across lines versus you know, in previous quarters? And then had a follow up? Thanks.
Michael Kauffman: Yeah. I turn that to John Demaree, our Chief Commercial Officer. John?
John Demaree: Thanks, Michael. As the 1sales growth we saw Brian, with the cross lines of therapy, with the majority coming from later line patients. It's hard to tell for sure its prescription data we received from our specialty pharmacies and distributors have not captured in what line of therapy patients are receiving XPOVIO. However, from secondary market research data we purchased, our own market research with prescribers and ad-boards, our sense is that still much of the business is coming from later lines, PG  fourth line and later lines. Though many of those patients are now receiving the triplet combination with XPOVIO and another myeloma backbone instead of just XPOVIO plus dexamethasone, which was more common in the past, indicating we're getting trial of the new triplet indication, and we would expect them to try it in later lines and then move it up into earlier lines as they have success. So while the majority of patients are still in later lines, we are making inroads with some physicians who are starting to prescribe XPOVIO to their second and third line patient's.
Brian Abrahams: Got it. That makes a lot of sense. And then maybe just as a follow up, just a - maybe a bigger picture, strategic question for Richard on selinexor, obviously, as shown signals in a number of different tumor types. Where do you see the most promising opportunities for the drug? And do you see any opportunity to further refine the development strategy or even maybe partner in some of these combo indications you mentioned to split economics to enable any further cost savings on the R&D side? Thanks.
Richard Paulson: Thanks, Brian. You know, we'll get into that in the future and share with - share with you and the other analysts. But, you know, I think in the near term, we have a great opportunity to really expand our breadth and depth in multiple myeloma treatment landscape. And as you know, we've just begun there and John talked to that as we're starting to move into earlier lines where we can compete and help our patients. As you heard from Michael, we are generating new data in the XVd study, as we continue to generate that additional combination data with other myeloma drugs, you know, I do believe we have the opportunity to be a backbone in many areas. And as we move forward, and as we heard a little bit around SIENDO, moving beyond multiple myeloma I really believe this opportunity to be a portfolio in a pill is clinically meaningful for us, and will allow us to have utility across a host of cancers. So we'll have to explore moving forward how we bring that to life. But we look at many solid tumor indications, you know, both as a single agent and importantly, as you touched on as a combination partner for selinexor  cancer medicines, is going to allow us to really synergistically bring XPOVIO for more patients battling cancer moving forward.
Brian Abrahams: Got it. Thanks so much.
Operator: The next question comes from Maury Raycroft from Jefferies. Please go ahead.
Maury Raycroft: Morning, everyone. And I would like to add my congrats to Michael, Sharon and Richard too. Maybe first question is just, if you can talk more about the higher gross-to-net discounts in 1Q compared to 4Q ‘20. Can you say what the discount was in 1Q? And will this continue going forward? Or how should we think about it?
Michael Mason: Sure. Yeah, I think - so we’ve guided that we'd end up in a range of 15% to 20% for growth, and that we ended up just slightly north of that, in Q1 at 21%. And pretty typical, you know, where the first quarter with the co-pay, resets, et cetera. So we do expect that to come down into our - into our range of 15% to 20%, as we think about for the entire year, with some lumpiness quarter-to-quarter.
Maury Raycroft: Got it. That's helpful. And then, as far as access for the sales team goes, can you provide any more specifics or quantify how much access they have currently, and where you aim to get in the second half of ’21?
Michael Kauffman: John, will take that.
John Demaree: Yeah. So in terms of access to customers, you know, COVID has been a challenge. It's created an impact for patients for HCPs in the entire industry, and we do still have some access challenges, we do see that growing. It's growing at a different pace in different parts of the country. The last secondary data report that we saw that - suggested that about 20% to 25% of our interactions are in-person, and 75% to 85% of our interactions are still virtual. We're providing our teams tools to engage with their customers in both the virtual and in-person environments, so they continue to drive the BOSTON message as we go forward. We expect as we go throughout the remainder of the quarter and a month  remainder of the year, that access in-person to our customers will continue to grow substantially.
Maury Raycroft: Got it. Okay. Thank you for taking my question.
John Demaree: Thank you.
Operator: The next question comes from Peter Lawson from Barclays. Please go ahead.
Peter Lawson: Hi. Hey, Michael, just always been a pleasure speaking with you and best of luck with next steps. And maybe the first question, just for Richard just on - as we get really transfixed on first hundred days. So just wonder if you could walk us through what you're thinking for the initial steps at Karyopharm?
Richard Paulson: Yes, thanks. Thanks, Peter. You know, in initial steps, I think over the next hundred days, I mean, really, what I'm super excited about with Karyopharm is the opportunity to help patients. You know, as you know, XPOVIO I think is uniquely positioned with its broad mechanism of action and its ability to be combined with a variety of other cancer drugs. Now, it's going to enable us to make a tremendous impact on patients battling cancer. In the near term, as we touched on, our focus is to continue to move up past the initial launch of XPOVIO and penta-refractory multi myeloma, and the initial launch was successful. But as we expand into earlier line settings, it's more complex, and it's going to require us to really expand our breadth and depth. So that is a key area of focus for me in the near term. And then also, should the Phase 3 SIENDO study and endometrial cancer prove successful, we will need to start on-preparations early in the next little while. So as this is potentially a significant commercial opportunity for us moving forward, we're going to need to see how we bring that to light over the near term. So those are a couple areas of my near term focus. And finally, you know, as we're in the process of discussing and evaluating potential partners in Europe and Japan, with the recent marketing authorization, the EU, as well as the acceptance of the EMA for BOSTON indication, which is where we know much of our value to us, and potential partners will be generated, we need to continue to explore those partnership opportunities. And the immediate priority is around ensuring  we bring XPOVIO to the EU and multi myeloma. However, potential partners have also expressed very high interest in our solid tumor pipeline. So as we touched on making sure we find the right strategy moving forward in Europe is also going to be a key focus.
Peter Lawson: Thank you. And then just from your prior experience, Richard, what parallels do you have with drugs similar to selinexor?
Richard Paulson: Thanks, Peter. In the past have had the opportunity to bring drugs to market in multi myeloma, you know, specifically working on Kyprolis  And I think, as we know, in many areas, when you first launch, and later on later stages of the disease, and then work to move up, you know, you need to continue to work with physicians to help them better understand the medicine, help them have understand how to initiate and manage patients. And that's a process that takes time, but one which we're committed to moving forward.
Peter Lawson: Perfect. Thanks so much. Congratulations. I’ll get back in queue…
Richard Paulson: Thank you.
Operator: The next question comes from Eric Joseph from JPMorgan. Please go ahead.
Eric Joseph: Thanks for taking the questions. Good morning. And congrats again on the role Richard, I will do my best to not call you Paul Richardson.
Richard Paulson: Thank you.
Eric Joseph: Come on…
Richard Paulson: Especially, multiple myeloma.
Eric Joseph: Right. Just a couple of questions on recent prescription trends, and looking forward here, exiting first quarter growth seems pretty strong. I guess, can you comment on demand trends through April so far? And are you able to perhaps guide us a little bit on second quarter expectations? And then just a follow up on sort of where you're seeing use right now, you note that with once weekly - sorry, with most of the demand being  for the ones weekly regimen just sort of combination use. Is there any expectation that, that might kind of accrue to longer average duration on therapy? Or is it really more about trying to expand into earlier line years before we might see the benefit of you know, longer time on therapy occurring to sales? Thanks for taking the question.
Michael Mason: Eric, it Michael. Listen, we're not going to comment on this quarters growth at all, at this point, and we'll update you obviously when we can, but I will turn it over to John, the second part of the question.
John Demaree: Yeah. Looking at our dosing - thanks for your question there, Eric. Just as an example, last year, in Q1 over 50% of our new patients were being started on the twice a week 80 milligram dose, or 160 milligrams per week, which was the starting dose in the STORM population. In this most recent quarter only 15% of patients were started on that dose, with the remaining 85% being started on a once weekly dose, most commonly either 100 milligrams, or 80 milligrams. And while we can't be exactly sure which line of treatment these prescriptions are being generated in, syndicated market research we purchased suggest many of them are being prescribed with other multiple myeloma drugs such as Velcade from the BOSTON study, or with Pomalyst or Darzalex, which are in the NCCN guidelines or with Kyprolis, which has been studied in the STOMP trial. So we continue to see the triplet use expand, most likely in the later line populations. Now, we do expect that to move earlier as patients get more comfortable using XPOVIO with different triplet combinations. Of course, I mentioned a couple of different drugs listed in NCCN, as a company we will only promote the SVd indication which is our own label indication.
Eric Joseph: Okay, guys. Thanks for taking the questions.
Operator: The next question comes from David Lebowitz from Morgan Stanley. Please go ahead.
David Lebowitz: Thank you very much for taking my question. Is it fair to say that the - almost all the incremental increase in prescriptions is from the expanded label? Or is there some incremental increase from the DLBCL? And maybe some additional from the initial indication?
Michael Kauffman: Yeah. I think it's fair to say that the 17% demand growth was driven primarily by new patient starts in multiple myeloma, with most of that being an increase in triplet usage, so driven by the new indication that we've seen.
David Lebowitz: How do you expect, I guess, if there's any way to qualitatively, I guess, estimate how the shift in the environment as patients are starting to see their doctors a little bit more actively with vaccinations going up as the year goes on? How could that number shift going forward? And how should we look at that when we model as far as what type of demand could change going forward?
Michael Kauffman: I think it was interesting to see in the first quarter, when you look at all the multiple myeloma brands that have reported this quarter to date, as Michael mentioned, it seems to be a down quarter in terms of multiple myeloma. We would expect as patients are vaccinated that patients will return to see their physicians, that they will be getting new therapies. So we would expect the market to return to growth. We would expect to benefit from that market growth, as well as obviously incremental growth above that with the continued launch and success in driving uptake in earlier lines with the BOSTON indication.
David Lebowitz: Thanks for answering my questions.
Michael Kauffman: Thanks for your question.
Operator: The next question comes from Jonathan Chang from SVB Leerink. Please go ahead.
Jonathan Chang: Good morning, and thanks for taking my questions. First question, given it sounds like the majority of revenue currently is still coming from the later line STORM setting or the later line setting period? Can you speak to reasons for the confidence that you'll be able to successfully penetrate to earlier line settings and see that benefits a longer duration of treatment in the second half at those numbers?
Michael Kauffman: Maybe I'll start and then I’ll turn in John and Richard may have a comment. The main driver here is his education of physicians. Physicians for the last five years have assembled a series of multiple different triplet therapies typically, that they use in first, second, third, fourth line settings and they're comfortable with those. Were a new entry. While this is not the unmet medical need that we had, when we went into penta-refractory, we do have one of the simplest, if not the simplest, triplet therapy in terms of administration, time required for a patient to come into clinic, and so on of all the drugs. So what you're doing now is having to educate doctors that there's a new kid on the block, and that it's quite simple, it's easy. And with the proper prophylaxis, it can be very manageable with patients on this combination, as you know, for over two years now. So that's the main driver here. And I think, as John mentioned with our salesforce getting back face-to-face, we will be able to change practice and guide physicians that there is a new option out there. John, do you want to…
John Demaree: Yeah. I think Michael's point about education is critical. And we're also deploying a number of new tools to help continue to reinforce and drive that education. So we're deploying interactive content that can be used in-person or via virtual engagements by both our salesforce and our marketing team. In addition, we recently made significant investments in our digital ecosystem to improve that physician education, including website enhancements, KOL videos, banner ads, search engine marketing, search engine optimization, digital media, social networking, competitive media pilots and plan to continue to expand this substantially going forward to drive that education that Michael spoke to is being critical. We're also investing in significant peer-to-peer education via both live and digital channels. And finally, beyond just branded, we're continuing to enhance disease state education around the role of XPO1, in addition in cancer, including in multiple myeloma. So a number of things that we're doing to continue to drive that education in the second half of year – second quarter and second half of the year.
Jonathan Chang: Got it. Thank you. And just one follow up to that. Can you give us a sense of what you can and can't track in teasing out where these sales are coming from? Thank you.
Ian Karp: So I'll just - this is Ian. Jonathan, not much has really changed there for those who have been following our story for some time, essentially, able to track from our distributor network, certainly, for about half of our business that goes through specialty distributors, we can see essentially just what dose of drug is being prescribed and how much per account. And then for the other half of our business, we're able to see a bit more data where we can see are these new patients are they refills, and that's where we get our refill data from, and we can see it are these multiple myeloma patients or these DLBCL patients, but none of this data unfortunately gives us specifically what line of treatment these patients are from, and it doesn't tell us what specifically combination drugs are being prescribed – portfolio. So all of that information we garner through general market research or intelligence with our salesforce, et cetera.
Operator: The next question comes from Ed White from H.C. Wainwright. Please go ahead.
Ed White: Good morning. And congratulations to Richard. And you know, and thank you and congratulations to Michael and Sharon as well. So just two pipeline questions. The first is on XPORT-035and 034 in myelofibrosis. I was just wondering if we can get a status update and perhaps when we can see data from those studies. And the second question is on the solid tumor studies and just wanted to get an update there on GBM, non-small cell lung cancer and colorectal cancer any kind of updates you can give us there on status and timing to data would be appreciated as well. Thank you.
Michael Kauffman: Hi, Ed. We will update on the - I know the 034 and 035 myelofibrosis studies are on clinicaltrials.gov. When we have our first patients enrolled, we will announce those as typical. We won't be able to give much in the way of data expectation, just given the accrual rates and so on and so forth. But we're quite encouraged about the underlying basis for doing those studies. And hopefully this year, you guys will see some data in that regard. For the solid tumor studies. The same thing applies. The colorectal and lung studies are ongoing. And we hope to provide updates in medical meetings when appropriate, hopefully this year. And for the GBM study similar, although I think we've just initiated as you know, some of the new cohorts in frontline combination, and in relapsed in combination with lomustine. So those will take a little bit longer, and I would expect maybe next year to see them, but we'll have to see.
Ed White: Great.
Operator: The next question comes from Colleen Kusy from Baird. Please go ahead.
Colleen Kusy: Hi, good morning. Thanks much for taking our questions. And congrats to the whole team. If you could comment on what the inventory stocking level is as of the end of 1Q? And then when you're thinking about competition in the layer lines with multiple myeloma, as what are some of the features that XPOVIO - that features of XPOVIO that really resonates with the prescribers when thinking relative to competitors?
Michael Kauffman: Mike Mason will discuss the inventory.
Michael Mason: Sure. So as Michael mentioned earlier on the call, you know, we had 17% demand growth, but 7% ex-factor growth and part of that was gross-to-net and part of the other difference is with some stocking that happened in December of 2020. Yes, as you recall, we got the BOSTON approval in mid - mid to late December, so we saw some stocking in December. So that we start - we didn't see much of a benefit of that in Q1. So that led us somewhere around you know, 4-ish weeks of inventory, which is pretty consistent with what we've had in prior quarters.
Michael Kauffman: John, will take the second part.
John Demaree: Yeah. In terms of what customers are looking for - you ask in later lines with therapy, actually, you know, our goal with the BOSTON data is to move into earlier lines of therapy. And what we've seen there in multiple myeloma, physicians - many physicians believe it's important to treat with different mechanisms as early as possible in the patient's course of disease. And that's one of the key advantages XPOVIO brings is a novel mechanism of action that is synergistic with proteasome inhibitors, like Velcade and the indicated XVd regimen. We also know that they're very focused on efficacy. And we're able to communicate with the XVd regimen rapid and sustained PFS benefit, as well as clinically significant durable responses, all attributes that are very important to the customers. And I do think it's important to note, when you look at the landmark BOSTON study, it's the only trial out there today to study Velcade weekly, the way it's actually used by clinicians in clinical practice. And despite using that weekly dose or half the dose of other trials still produce very strong data for patients. So those are some of the attributes that physicians are looking for. And we're highlighting as we work to move XVd into earlier lines of therapy.
Colleen Kusy: Great. Thank you, it's really helpful. And if I can quickly ask the follow up, is SIENDO data a positive, how much incremental investment would you expect you'll need to make in your commercial infrastructure to expand into solid tumors?
Michael Kauffman: Yeah, go ahead, John.
John Demaree: So we're actually doing that assessment right now, to look at overlap of accounts and the size of the commercial platform and footprint that we would need to fully maximize that. So that's something that we'll be able to provide more data to you at a later point in time.
Colleen Kusy: Okay, thank you.
Operator: The next question comes from Arlinda Lee from Canaccord. Please go ahead.
Arlinda Lee: Hi, guys. Thanks for taking my question. I guess, I was curious about on the education front. I'm curious what you guys are encountering as whether the disconnect is or the hurdle is for prescribers to prescribe more into the BOSTON trial, or Boston patient population? Thank you.
Michael Kauffman: I'll start and John, can add. I don't think there's really a disconnect. Again, I think it really has to do with, that you do things that you're used to doing, doctors are very much - you know, they're confident with what regimens they had prior to the BOSTON approval. They've been working on them and honing them for the last five years, which is really the last time that a major second line, new indication or new drug came out. And so they're just comfortable. It's a little like, you know, before we all use seatbelts, nobody really wanted to put it on, but you eventually get used to it. And then it becomes second nature. So what we have to do is make the BOSTON regimen second nature to physicians, and that's going to take a little bit of time. But I don't think there's a problem here at all. When the doctors, typically most doctors, when they use this regimen, they're pleasantly surprised, when they use proper prophylaxis, we get a number of doctors calling us and saying, well, the patient didn't have any nausea. And we - you know, we asked them what they did. And they said, well, I used what you suggested and that's how it all works. So we know how to prevent the side effects from this drug, a lot of them. They are reversible, and we just have to change people's habits.
John Demaree: I think Michael is absolutely right. Some physicians have that habit based on the STORM data. As you know that week once weekly dosing regimen in the BOSTON is better tolerated and shows a higher level of efficacy. So it's just getting physicians to try that new regimen versus the original regimen we launched with - continue that education process.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I'd like to turn the conference back over to Richard Paulson for any closing remarks.
Richard Paulson: I'd like to thank everybody again for joining today's call and we look forward to updating you on our progress as soon as we can. Thank you, operator. We’ll close the call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.